Operator: Ladies and gentlemen, thank you for standing by and welcome to NetScout's Fourth Quarter and Full Fiscal Year 2022 Financial Results Conference Call. at this time, all parties are in a listen-only mode until the question-and-answer portion of the call. As a reminder, this call is being recorded. Tony Piazza, Vice President of Corporate Finance and his colleagues at NetScout are on the line with us today. [Operator instructions] I would now like to turn the call over to Tony Piazza to begin the company's prepared remarks.
Tony Piazza: Thank you, operator and good morning everyone. Welcome to NetScout's fourth quarter and full fiscal year 2022 conference call for the period ended March 31st, 2022. Joining me today are Anil Singhal, NetScout's President and Chief Executive Officer; Michael Szabados, NetScout's Chief Operating Officer; and Jean Bua, NetScout's Executive Vice President and Chief Financial Officer. There is a slide presentation that accompanies our prepared remarks. You can advance the slides in the webcast viewer to follow our commentary. Both the slides and the prepared remarks can be accessed in multiple areas within the Investor Relations section of our website at www.netscout.com, including the IR landing page under financial results, the webcast itself and under financial information on the quarterly results page. Moving on to slide number three, today's conference call will include forward-looking statements. Examples of forward-looking statements include statements regarding our future financial performance or position, results of operations, business strategy, plans and objectives of management for future operations and other statements that are not historical facts. You can identify forward-looking statements by their use of forward-looking words such as anticipate, believe, plan, will, should, expect, or other comparable terms. We caution listeners not to place undue reliance on any forward-looking statements included in this presentation which speak only as of today's date. These forward-looking statements involve risks and uncertainties, and actual results could differ materially from the forward-looking statements due to known and unknown risks, uncertainties, assumptions, and other factors, which are described on this slide and in today's financial results, press release as well as in the company's Annual Report on Form 10-K for the year ended March 31st, 2021, on file with the Securities and Exchange Commission. NetScout assumes no obligation to update any forward-looking information contained in this communication or with respect to the announcements described herein. Let's turn to slide number four, which involves non-GAAP metrics. While this slide presentation includes both GAAP and non-GAAP results, unless otherwise stated, financial information discussed on today's conference call will be on a non-GAAP basis only. The rationale for providing non-GAAP measures along with the limitations of relying solely on those measures, is detailed on this slide and in today's press release. These measures should not be considered in isolation from, or as a substitute for, financial information prepared in accordance with GAAP. Reconciliations of all non-GAAP metrics with the applicable GAAP measures are provided in the appendix of the slide presentation in today's earnings release and on our website. I will now turn the call over to Anil for his prepared remarks. Anil?
Anil Singhal: Thank you, Tony and good morning everyone. Welcome and thank you all for joining us today. I'm pleased to report that we met all our objectives for fiscal year 2022 and delivered a solid performance on multiple fronts. In line with our NetScout without borders strategy, we increase our existing customer business, forge new customer relationships, and advance our cybersecurity agenda. These successes led to total revenue growth driven by high single-digit product revenue growth, continued margin expansion, improved diluted EPS performance, and a strong free cash flow generation on a year-over-year basis. On behalf of NetScout, I would like to thank our employees, customers, and other stakeholders who continue to -- who contributed to our success in fiscal year 2022. Let's now turn to slide number six for a brief recap and more detail our fourth quarter and full fiscal year 2022 non-GAAP results. For the fourth quarter revenue was $191.2 million and diluted earnings per share was $0.29, both exceeding our objective for the quarter. For the first full fiscal year 2022, we delivered $855.6 million in revenue. This represents a total revenue growth of approximately 3% year-over-year. Our product revenue growth rate was over 8% year-over-year, more than double that our total revenue growth rate during the same period. Notably, we ended fiscal year 2022, with a substantial backlog of approximately $50 million in unshipped orders. This excludes approximately $60 million in radio frequency propagation modeling orders, which we expect to recognize as revenue in fiscal year 2023. Turning to margins, gross margin was 77.4%, up 100 basis points year-over-year, while our operating margin was 21%, up 20 basis points year-over-year. Our enhanced margin profile delivered diluted EPS of $1.84 in the fiscal year. This represented approximately 8% diluted EPS growth, more than twice that of our total annual revenue growth, on a year-over-year basis. Finally, we generated strong free cash flow of more than $285 million in our fiscal year 2022. Let's now move to slide number seven for some further perspective on market and business insights. Starting with our enterprise customer vertical, revenue grew more than 10% year-over-year for the full fiscal year 2022. Additionally, all key industry sectors in this vertical grew on an annual basis. These customers are increasingly focused on cybersecurity solutions and the acceleration of their digital transformations as they emerge from the pandemic and adjust to the new normal of today's operating environment. As a result, we continue to see spending momentum in this vertical. Michael will highlight some of the enterprise customer wins we achieved in the fourth quarter during his remarks. Moving to our service provider customer vertical, revenue declined approximately 4% year-over-year for the full fiscal year 2022. Carriers continue to be in the early stages of 5G deployment as evidenced by the amount of radio frequency propagation modeling project orders we received during this fiscal year. The majority of these projects are expected to be completed and recognized as revenue in fiscal year 2023. Michael will comment on some of the service provider wins during his remarks. Now, let's move to slide number eight to review our outlook. As we look forward, we are excited about our core service assurance and DDoS security businesses as well as the new opportunities we see within the network detection and response areas of the cybersecurity market. Our Omnis solutions offer a uniquely differentiated approach compared to today's more traditional solutions, providing faster detection, investigation, and mitigation at larger scale than most current alternatives. As we continue to expand our cybersecurity market footprint in fiscal year 2023, we also plan to disclose more information related to our cybersecurity business, including business size and revenue growth rates. Our cybersecurity business is comprised of our current Arbor security business along with our new Omnis cybersecurity solutions. As a baseline, in our fiscal year 2022, our cybersecurity business generated revenue of approximately $230 million and delivered mid-single-digit revenue growth year-over-year. Moving to our current outlook for fiscal year 2023. We anticipate delivering higher revenue growth than last fiscal year, with expectations for revenue to be in the range of $895 million to $925 million. This represents a year-over-year revenue growth rate in the mid to high single-digits. We expect our revenue expansion to be driven by a product revenue growth rate anticipated to be in the mid-single-digit to mid-teens range. Regarding profitability, we anticipate diluted earnings per share will be in the range of $1.97 to $2.03. This represents a mid to high single-digit diluted EPS year-over-year growth rate. We are providing this outlook despite various cost headwinds, which are related to increased costs associated with travel and events as we return to in-person business operations as well as macro headwinds, driven by the competitive labor market and elevated inflation. Our outlook also includes the estimated impact of a $150 million accelerated share repurchase program and a $150 million debt repayment, both of which we plan to execute in the first quarter of our fiscal year 2023. Jean will provide additional color and a recap on the numbers in her remarks. Finally, given that our current $25 million share repurchase authorization is approaching completion, our board recently authorized a new share repurchase program to allow for the repurchase of an additional $25 million shares of our common stock with no definitive time frame for execution. In summary, we are very pleased with our fiscal year 2022 performance and excited about the opportunities we see for NetScout in fiscal year 2023 and beyond. We are entering the new fiscal year with a solid foundation from which to continue growing and remain well-positioned to help our customers address the challenges and opportunities of the digital world. We look forward to sharing our progress and achievements with you as the new fiscal year unfolds. With that, I'll turn the call over to Michael.
Michael Szabados: Thank you, Anil and good morning everyone. Slide 10 outlines the areas that I will be covering today, starting with customer wins. In our enterprise customer vertical, we won a mid-seven figure deal in the fourth quarter with a large global healthcare customer. This customer was focused on enhancing its infrastructure to gain greater visibility and avoid disruptions as it prepares for the dramatic increase in business that it expects to occur following the pandemic. As part of this transaction, we provided a comprehensive solution combining our new Omnis cybersecurity and smart edge monitoring products with our service assurance solutions. Separately, we won a high six-figure order from a large defense industry customer that had acquired a new division. After acquiring the division, this customer recognized the need for a stronger service assurance solution during the integration process. Notably, this is the second integration project that we have completed for this customer and we won this deal on the back of our strong performance on the initial project. This customer has more divisions to upgrade beyond these first two. Turning now to our service provider customer vertical. As mentioned earlier, we are still in the early innings of 5G and during the fourth quarter, we received additional radio frequency propagation modeling orders from two Tier 1 domestic carriers as they advanced their 5G network planning. The combined size of these orders was an eight-figure number in the mid-teens range and we expect to recognize the revenue associated with these projects in our fiscal year 2023 as the projects are completed. We also received a mid-seven figure 5G-related order from a Tier 2 domestic carrier in the fourth quarter as the carrier continued to roll out its 5G network. Now, turning to our go-to-market activities, where we are starting to focus on in-person events again to further engage with existing and prospective customers. Just last week, we held our Annual Technology and User Summit, ENGAGE 2022 in Orlando, Florida. The theme at ENGAGE this year was the Omnis Wave of Innovation, with a focus on demonstrating how our visibility platform and underlying deep packet inspection technology are being extended to adjacent areas, ranging from cybersecurity to adaptive DDoS, which incorporates our AIF intelligence feed, AI/Ops, 5G, analytics, and more. We experienced a strong customer and partner turnout, and it was wonderful to interact with many of our customers and partners in person again as we slowly move into the post-pandemic world. In addition to ENGAGE, we recently came together with AWS to host a Security Immersion Day. Focused on our Omnis Cyber Investigator integration with AWS Security Hub, this event was also well attended. Moving forward, we plan to attend the Big 5G event in Austin, Texas in mid-May. That concludes my prepared remarks and I will now turn the call over to Jean. Thank you.
Jean Bua: Thank you, Michael and good morning everyone. I will review key metrics for our fourth quarter and full fiscal year 2022 as well as comment on our fiscal year 2023 outlook. As a reminder, this review focuses on our non-GAAP results unless otherwise stated, and all reconciliations with our GAAP results appear in the presentation appendix. Regardless, I will note the nature of any such comparisons. Slide number 12 details the results for our fourth quarter and full fiscal year 2022. Focusing first on quarterly performance, as discussed on last quarter's earnings conference call, we experienced an acceleration of approximately $25 million to $30 million of orders in our third quarter that were previously expected in our fourth quarter. Accordingly, given our strong third quarter, fourth quarter revenue declined 10.4% year-over-year to $191.2 million. We also ended the fourth quarter with a backlog of approximately $50 million in unshipped orders. And including approximately $60 million of radio frequency propagation modeling orders, which is expected to be recognized as revenue in fiscal year 2023. Total backlog was more than $100 million. Our fourth quarter fiscal year 2022 gross profit margin was 77.6%, up 0.4 percentage points over the same quarter last year, primarily attributable to product mix. Our fourth quarter software-only revenue was 45% of our service assurance product revenue, compared to 34% in the same period in the prior fiscal year. Quarterly operating expenses increased 6.5% from the prior year, primarily attributable to increased travel and sales compensation costs. We reported an operating profit margin of 12.4% compared with 22.4% in the same quarter last year. Diluted earnings per share was $0.29, compared with $0.49 in the same quarter last year. For the full fiscal year 2022, revenue was $855.6 million, which was an increase of 2.9% over the prior year. Product revenue grew 8.6% and service revenue declined 1.8% over the prior year. Gross profit margin was 77.4%, an increase of one percentage point over the prior year. Software-only sales were 39% of service assurance product revenue in the full fiscal year versus 33% last fiscal year, resulting in higher margins overall. Annual operating expenses increased 4.2% from the prior year, primarily due to investments in sales and marketing. We reported an operating profit margin of 21.0%, up 0.2 percentage points over the prior fiscal year, with diluted earnings per share of $1.84, an 8.2% increase compared with the same period in the prior year. Turning to slide 13, I'd now like to review key revenue trends. For fiscal year 2022, our enterprise customer vertical revenue grew 10.6%, while our service provider customer vertical revenue declined 4% both on a year-over-year basis. Approximately 51% of total revenue was generated from the enterprise customer vertical, while the remaining 49% was from the service provider customer vertical. Turning to slide 14, which shows our geographic revenue mix on a GAAP basis. Revenue by geography continues to be domestically weighted. Both domestic and international revenue increased on a year-to-date basis. No customers represented 10% or more of total revenue in either the fourth quarter or the full fiscal year. Slide 15 details our balance sheet highlights and free cash flow. We ended the quarter with $703.2 million in cash, cash equivalents, and short-term and long-term marketable securities, representing an increase of $149.7 million since the end of the third quarter. Free cash flow generated in the quarter was $152.2 million, while free cash flow generated for the full fiscal year was $285.6 million. Our strong free cash flow was partially attributable to the timing of orders in the second half of the fiscal year as well as an increase in multi-year maintenance renewals and customer prepayments. From a debt perspective, we ended the fiscal year with $350 million outstanding on our $800 million revolving credit facility, which expires in July 2026. To briefly recap other balance sheet highlights, accounts receivable net was $148.2 million, down by $85.6 million since the end of December. The DSO metric was 64 days versus 75 days at the end of fiscal year 2022 -- sorry 2021 and 76 days at the end of December 2021. Let's move to slide 16 for commentary on our outlook. I will focus my review on our non-GAAP outlook. As Anil mentioned, we plan to initiate two capital structure activities in our first quarter of fiscal year 2023. First is a $150 million accelerated share repurchase program. We anticipate this will be completed in the fall and will consume the majority of the $5.8 million shares remaining in our existing 25 million share repurchase program authorization. Given this, our board recently authorized a new share repurchase program to allow for the repurchase of an additional $25 million shares of our common stock with no definitive time frame for execution. Second is the debt repayment for up to $150 million of the outstanding debt on our revolving credit facility, which, when completed, should bring the outstanding balance down to $200 million. Both of these transactions will be funded from our cash balance. For our fiscal year 2023 outlook, after taking these capital structure transactions into consideration, we anticipate revenue in the range of $895 million to $925 million, which implies a mid to high single-digit year-over-year growth rate. Additionally, for the first half of the fiscal year, we anticipate delivering revenue in the range of 46% to 48% of our full-year revenue outlook, as determined by the midpoint of our provided revenue range. The anticipated effective tax rate is expected to be between 20% and 22%. Assuming approximately $73 million to $74 million weighted average diluted shares outstanding, which includes the estimated impact of the planned $150 million accelerated share repurchase program, with a partial offset for employee stock compensation dilution. We expect non-GAAP diluted earnings per share to be between $1.97 and $2.03. This represents a mid-to-high single-digit diluted EPS year-over-year growth rate. This also incorporates our expectations for increased costs associated with travel and events as we return to in-person business operations as well as the persistence of macro headwinds, driven by the competitive labor market and elevated inflation. I'd also like to offer some color on the first quarter. As we assess the opportunities in front of us, we currently anticipate a high-single-digit revenue growth rate, with a similar increase in earnings per share. We estimate that diluted weighted average shares outstanding for the first quarter will be between $73 million and $74 million shares, given the estimated impact of the planned accelerated share repurchase program. That concludes my formal review of our financial results. Before we transition to Q&A, I'd like to quickly note that our upcoming IR conference participation is listed on slide 17. Thank you. And I'll now turn the call over to the operator to start Q&A.
Operator: [Operator instructions] We'll take our first question from Matt Hedberg from RBC Capital Markets.
Matt Swanson: Yes. Thank you. It's actually Matt Swanson on for Matt. Jean, it was great to see the acceleration in the FY 2023 guidance. Can you just maybe talk through some of the puts and takes of the current macro environment? It's obviously a complicated scenario that we're in right now as you kind of think through that acceleration and what's giving you the confidence in that?
Jean Bua: Sure. So, from a revenue perspective, we have seen software solutions to take advantage of some of the other supply chain-related issues. And so we saw an acceleration in Q3 and Q4. And as you can see from the backlog, we have over $100 million entering FY 2023. That gives us very good visibility to the first half of the year. We also believe that the Omnis products, the security products that we are entering -- the market that we're entering in the network detection and response area has been very well received by our customers so far and we have some sales of the Omnis cybersecurity product in fiscal year 2022, albeit. immaterial. So, we believe that will be a very good growth area for us in 2023 as people -- salespeople come back to in-person sales and can do proofs of concepts and those types of things. We also do -- when I think about the gross margin, we will have much more calibration in the gross margin in the revenue, which will affect the gross margin. As we've talked about in the past, a lot of the 5G radio frequency propagation modeling projects are still looking at where these carriers want to put their antennas initially. So, it's still very labor-intensive. I anticipate that the radio frequency propagation modeling of $60 million revenue will carry probably a 50% gross profit margin. And then when I go down through operating costs through the cost structure, I'd anticipate that there's about $45 million to $50 million of costs that are coming back into the cost structure due to travel due to in-person events, general inflation, and then obviously, the very competitive labor market that we're in. We have long-tenured employees, which are very loyal to NetScout and as you know, we've never really done any kind of a volumetric layoff. So, we still have all that talent in-house. So, when I go down through operating margin, the operating -- the earnings per share from operations should increase probably in the mid-single-digits. And then we are doing those two capital structure activities. We have over $700 million worth of cash, which gives us over $300 million of excess cash. And given how long it takes to execute the shares in the market, we're taking half of that free cash -- excess cash and doing an accelerated share repurchase. And then because of the rising interest rates and the fact that our debt instrument is a revolver, which means I can bring it up or bring it down, draw down the money whenever we need it. We're going to pay off that debt and then look in the future as to any other debt capital allocation that's needed in the form of M&A or maybe a second share repurchase. So, in those financials -- the operating leverage combined with those two financial transactions is giving the EPS, the growth rate that we'll see in FY 2023.
Matt Swanson: Thank you. That was extremely helpful. And then as a follow-up, maybe for both Neil and Michael and building off what Jean was saying about the security business expectations in 2023. It's fantastic that we're going to get those additional metrics to give us some more visibility. But could you just talk a little bit more about what trends you're seeing right now -- and kind of, like what's giving you that confidence for some further growth from that business in 2023?
Anil Singhal: So, first of all, we had -- I mean, we just introduced this just about three to four months ago, we already have 20 customers. And the confidence is coming from the fact that we'll be really targeting our existing customers. And in a way, we are building the second floor of the building, we already have the foundation and the first filer. So, that -- the speed of traction is going to be much better than would be normally with a brand new solution. We are using a lot of the building blocks in the company, salesforce, different common engineering organization, common go-to-market model. Yes, we have some overlay people. So, that's giving us the confidence. And the second thing is we believe that the market we are addressing outside of DDoS NDR, network detection response is sort of underserved and is a big need in the market with several bigger players exiting the market for one reason or another. So, all these things combined with what we have seen the traction already gives us good confidence that we'll have a higher growth rate in the cybersecurity business than our total growth rate next year.
Michael Szabados: We also had a very successful customer event last week and had a lot of conversations with our security partners and we can use that to corroborate our earlier analysis that as Anil mentioned, it's a very strong sentiment from them.
Matt Swanson: Thank you. Congrats again on the quarter.
Jean Bua: Thank you.
Operator: Next question comes from James Fish from Piper Sandler.
James Fish: Hey guys. Congrats on a really good-looking quarter and good into the fiscal year here. I just want to circle back on the guide though. It's been quite a few years since NetScout was able to grow this rate and historically, we haven't had this amount of product backlog. And it's nice to see that building with about quarters worth of product. But what can you say about what gives you confidence in hitting this type of growth rate given it's really a quarter's worth of product? And second, are you seeing carriers and large enterprises actually ordering earlier than anticipated given the supply chain was?
Anil Singhal: Yes. Jean covered some of these, James. But just to reiterate, yes, we had in Q3 a lot of such I mean, there are multiple orders in multimillion dollar range, both from service providers, a couple of enterprise customers who accelerated their order because we are one of the few software companies who can move bigger sized orders because of the size of our deployment. And in terms of our confidence, like I said, is coming from that we made a lot of investment in the last 18 months and introducing Omnis security and toward the end of the year, we'll be introducing something in the big data space. And most of it or hardly any of this, as Jean mentioned, is immaterial to the numbers of last year. So, we'll see some growth rate from that and as we just saw it in our recent user conference just last week. And there's a lot of customer interest, especially from existing customers where they believe that we have really, very compelling technology, yet the cost of ownership is much lower than the competitive solutions because they can use some of the hardware they have already purchased for us to run this new software.
Michael Szabados: There's another factor in the number of new customers building, growing faster, and faster over the last several quarters. So, that gives us a lot of additional contingency being able to grow.
James Fish: That’s helpful Anil and Michael. Maybe just following up on what you just said, though. Really what I'm trying to understand is, typically, how much visibility do you guys have without the supply -- before all these supply chain issues? And what kind of visibility do you have today in terms of like time line? Are we talking -- you have visibility of two to three quarters now instead of typically one quarter or is that in the right magnitude?
Anil Singhal: Well, I think one of the things is we always have visibility into renewal revenue, which is almost 50% of our total revenue and we always had that. In addition to that, this year was the unusual event because of the backlog situation material -- backlog situation, which Jean talked about. So, we have much, much better visibility in the which we ever had in the last four to five years. But if you were with NetScout before that, we had many such things between 2011 and 2016. So, I think that's -- we're just getting used to this. But at the same time, we want to end -- I mean, exit this year with similar visibility into the new year and into the next year and because of that, we will need some of the uptick in the security and other areas. So, visibility is quite good, but I think this is -- I would say it's much, much better than we had it in the past.
James Fish: Last one for me, if you don't mind. Free cash flow was really impressive this quarter, $152 million. But Jean, you mentioned the timing of orders and impact of multiyear maintenance renewals and prepayments, which correct me if I'm wrong here, but I don't believe it is typical for NetScout and guessing it comes primarily from carriers in this case. Is there a way to think of how much this prepayment and multiyear trends kind of impacted free cash flow this year and what you expect for free cash flow conversion in fiscal 2023?
Jean Bua: Sure. So, the free cash flow conversion -- free cash flow was $285 million. The conversion was greater than 200%. I would estimate that there's between $40 million to $50 million in that free cash flow between an increase in multiyear renewals as well as the customer prepayment. So, when I look at FY 2023, I would anticipate that we will still have more than $200 million in free cash flow and that our conversion rate is probably going to be -- I'm going to hedge a little bit. So, I'm going to say 125% to about 145% of non-GAAP income.
James Fish: Yes, makes sense. Congrats guys. Great quarter.
Anil Singhal: Thank you.
Jean Bua: Thank you, James.
Operator: Our next question comes from Kevin Liu from K. Liu & Company.
Kevin Liu: Hi, good morning guys. Let me add my congrats on the quarter and outlook as well. Just wanted to touch on more of the product backlog as well. As you look at that product backlog coming into this year, would you expect to maintain that for at least maybe in the first half or even throughout the year, given the ongoing supply chain challenges for your customers or do you expect that to work out fairly quickly?
Anil Singhal: Well, our goal is to obviously maintain that, but it also depends on the timing of orders in next year and things like that. And so there was an unusual situation about unshipped orders and also the calibration projects take much longer to execute, and that created the situation. It's possible we get more calibration order next year and we have a similar situation with more orders coming in toward the end of the year. Yes, goal is to continue to have much better visibility than in the past, which we had as we are lying for higher growth number and numbers.
Kevin Liu: Understood. And then just in terms of where you expect the growth to come from in 2023. Can you just talk a little bit about whether that's oriented more to security or whether you expect service assurance to ramp up as customers begin to move forward more so with their 5G rollouts? And then alongside that, how does that impact kind of the split between the enterprise and service provider verticals that we should expect for the year?
Anil Singhal: So, maybe I'll answer your last question first. So, I think this is going to stay in the 50/50 a long-term, I look at enterprise, 55% and service provider, 45%, which was sort of opposite of what we had in the past, recent past, or three to four years ago. The growth area we are looking at 5G is going to replace a lot of the 4G revenue and there could be some uptick because more the Mac mobilizes computing. In the enterprise area, the growth has come from all the investment we made two big areas are -- we have announced a solution to deal with IT operation problems and triage for remote workforce. And I feel that the need for what we do, performance management and service assurance has become -- they've taken a new meaning as people are working from home or they have moved some of the operations to the cloud. So, we announced a product in the smart edge monitoring area, which was very well received. And the rest of the growth is going to come from the cybersecurity area where we announced multiple solutions, some which help our DDoS solution, which we call Adaptive DDoS and other is a brand-new area called NDR, which we have looking at Omnis security. And I think investors will be able to see how this is progressing as we plan to report for the first time more details on that part of the business.
Kevin Liu: That’s great. Well, I appreciate you taking the questions and good luck to you in 2023.
Jean Bua: Thank you.
Anil Singhal: Thank you.
Operator: And it appears we have no further questions, I will now turn the program back over to Tony Piazza.
Tony Piazza: That concludes our prepared remarks. Thank you very much for joining us today and enjoy the rest of the day.
Operator: This does concludes today's program. Thank you for your participation. You may disconnect at this time. Have a great day.